Operator: This conference is being recorded.  All participants, please standby. Your conference is ready to begin. Thank you all for joining us this morning. Before I turn the call over, I need to advise that certain statements made during this call today may contain forward-looking information, and actual results could differ from the conclusions or projections in that forward-looking information, which include, but are not limited to, statements with respect to the estimation of mineral reserves and resources, the timing and amount of estimated future production, cost of production, capital expenditures, future metal prices, and the cost and timing of the development of new projects.  For a complete discussion of the risks, uncertainties, and factors which may lead to actual financial results and performance being different from the estimates contained in the forward-looking statements, please refer to Yamana 's press release issued yesterday, announcing Third Quarter 2021 results, as well as the management's discussion and analysis for the same period and other regulatory filings in Canada and the United States.  I would like to remind everyone that this conference call is being recorded and will be available for replay today at 12:00 p.m. Eastern Time. Replay information and the presentation slides accompanying this conference call and webcast are available on Yamana 's website at yamana.com. I will now turn the call over to Mr. Daniel Racine, President and CEO.
Daniel Racine : Thank you, operator. Thank you all for joining us and welcome to our Third Quarter 2021 conference call and webcast. Presenting with me today is Jason LeBlanc, our CFO, Yohann Bouchard, our Chief Operating Officer, Gerardo Fernandez, Senior VP Corporate Development, and Henry Marsden, Senior VP Exploration. We'll be available to answer questions during the Q&A portion of the call. I will start as always with  Our total recordable injury rates was 0.68 for the first nine months of 2021. The health and safety of our employees always come first and is something we have always trying to improve. Since the beginning of the pandemic, we have taken quick action to limit the impact of COVID-19 on our operations and the communities in which we operate. We put in place across the Company to minimize the spread of COVID-19.  We are happy to report that we expect over 90% of our employees to be fully vaccinated before the end of the fourth quarter. During the third quarter, we completed human rights risk assessment at all our sites in line with the voluntary principles on security and human rights. We also approved a responsibility policy covering all aspect health and safety and sustainable development. This is available to view on our website. Earlier this year, we introduced our climate strategy, in Q3, we performed workshops with each operations were established roadmaps for each operation that described project cost and schedule.  These actions will help ensure that is along our -- it's long-range GHG reduction efforts. Our supported by practical and operationally focused, short, medium and long-term action to achieve the targets. Moving onto our third quarter results, Jason will review our quarter in more detail, but I want to spend a moment to recognize the strong performance of our mines delivered. Canadian Malartic, Jacobina and El Pinon, all that standout quarters, and Cerro Moro, also produced excellent results. In total, from our 4 -- 5 operating mines, we achieved the second highest quarterly gold production ever in Q3 with record - breaking gold production expected in Q4.  As previously guided, we mentioned production was weighted at 53% for the second half of the year, with the fourth quarter being the strongest quarter. We did better than plan in the first half of the year, so don't be surprised if we do the same in the second half. We are in a very, very good position -- strong position to achieve our or exceed our production guidance of 1 million geo (ph) ounces. I will also mention that September was the lowest cost month of the quarter, and we expect. This trend to continue to Q4, where we expect to deliver meaningfully lower costs. Before talking about August, the Odyssey project, let me congratulate our exploration team at the Canadian Malartic General Partnership. They have been awarded Discovery of the Year by the Quebec Mineral Exploration Association for East Goldie.  What an important discovery for the underground mine, assuring multi-decades of production. We are very proud of them at Yamana. At Odyssey development of the underground ramp continue to perform well. The head frame slipped form four, started in September, and 93 meter was completed October 19, in 21 days. Structural steel installation expected to start -- is expecting -- expected to start in November, and being completed during Q4. Infill drilling from underground is defining the Odyssey internal zone, which are not currently included in the life of mine plan but that potential to add underground production within the next five years. Exploration continues to deliver exciting results at Odyssey and something we will continue to provide updates on.  Turning now to Jacobina and our exploration project -- expansion project, which continues to exceed our expectations. The mine has delivered significant progress on the Phase 2 expansion, a new daily throughput of over 8,800 tons per day was achieved in September during a trial test to test the plant capacity. But the potential we see for Jacobina extend well beyond Phase 2. As we have mentioned in the past, we will advance work towards our Phase 3 expansion. but the true potential lies even beyond this. Jacobina is located in the mining jurisdiction with huge potential, it shares similar geology to the goal district in West and South Africa that holds massive gold deposits.  We are seeing the potential for the Jacobina belt to become an entire gold mining district, which we own 100%. Jacobina mine us produced over 2 million ounces and as over 8 million more ounces in mineral inventory. This is all within a small portion of our land package, which is over a 150 kilometer. In the future, Jacobina could very well be a complex of mines, producing at a scale of over 400,000 ounces and continuing to be one of the lowest cost mines in the Americas. At our Wasamac project, permitting and engineering are continuing to advance. And as you may have seen from our press release during the quarter, exploration is already beginning to deliver some exciting results, especially at the Wildcat target.  The Wildcat zone is located 300 meters south of the Wasa Shear, and it shows that step out drilling has expanded the down deep continuity of the known historic zones that are now included in the current mineral reserve or mineral resources, highlighting the potential for zone with higher-grade to increase richer production and extend mine life. Our planning field and exploration drilling has the potential to generate additional mining -- mineral reserves that will sustain a 200,000 ounces production level for an extended period and support our strategic mine life of more than 15 years. I also want to take a moment to speak about MARA, another high-quality assets in our portfolio with huge potential.  The project is one of the world's lowest capital intensity copper projects and we are working to advance it. In the quarter, work progressed on the engineering design, drilling at site, and furthering studies and permitting. We are at a very important moment for this asset. And there are multiple  forwards all of which deliver value for our shareholders.  And that value is huge as you can see on this slide, at $4 per pound, copper and 1700 per ounces MARA has an NPV of over 4 billion. And we own 56.25% of that. We will evaluate all possible avenues to deliver the most value to our controlling interest. The opportunity we have to deliver value from this project that is not currently captured in our share price is truly exciting. And I will now pass the call over to Jason who can go over our quarterly results in more detail.
Jason Le Blanc : Thank you, Daniel, and good morning, everyone. I'll now provide a brief overview of our third quarter results as Daniel mentioned. We recorded net earnings of $27 million or $0.03 per share. And on an adjusted basis, $69.7 million or $0.07 per share with a man adjusting item relating to our early note redemption premium. We also saw strong cash flows in the third quarter with a step change increased quarter-over-quarter, which I'll come back to in more detail in a moment. But this profile of a strong third quarter is what we had expected at the start of the year. If you recall, at the beginning of the year, we guided that production would you weighted 47% for the first half, and 53% at the back half of the year.  And that the fourth quarter would be our strongest. Our results through 9 months attractive profile and we expect Q4 production to exceed 270,000 GEO, which positions us to achieve our annual guidance of 1 million GEO production for the year. On costs, recall in the second quarter, we had indicated that we were seeing some inflationary pressures from certain consumables with an impact of approximately $20 per ounce, above our planning assumptions at the start of the year. This is still our expectation.  But with our planned ramp up in sequential quarterly production, our unit costs have been decreasing since earlier this year. We really started seeing some of that better cost performance later in Q3. In September, we had meaningfully lower costs at several mines, and to give some gauge of that on a consolidated basis, Asic for September was about 10% lower than our average Q3 costs. We expect that trend to continue into Q4, where along with the increase in production, our Asic for Q4 should be between 5% and 10% lower than our Asic for Q3, which will translate to our strongest cash flows for the year.  Moving on to results from our mines in a bit more detail. Canadian Malartic followed its exceptional second quarter with another strong quarter in Q3, benefiting from higher-grade and recoveries compared to last year. Jacobina also fall that strong performance in Q2 with another solid quarter in Q3. Production in the quarter was close to the record-setting production established in Q2 with mill throughput above plan and with recovery and grade as expected, The mine is on track to sustain 7500 tons per day of ore to the mill by the end of the year, which will support our path to the Phase 2 expansion at Jacobina.  Cerro Moro also had an exceptional third quarter with geo production increasing 50% from the second quarter. More mining faces continue to be opened up in the quarter with more mill feed coming from the higher grade underground ore. This trend will continue in the fourth quarter, which is expected to be the strongest production of the year with stable throughput, but at higher grades. With stronger production expected in Q4, Cerro Moro's costs are expected to be lower as well. Shifting over to operations in Chile.  El Penon delivered solid results with GEO production increasing 19% quarter-over-quarter. Recall, we had indicated El Pinon was one of the mines that will contribute to our back-end weighted production profile. The higher-grade zones that contributed to that profile came into the mine sequencing during Q3, and we expect this will continue through the remainder of the year with a further increase in silver production for Q4. At Minera Florida, production was just under 22,000 ounces. But we are expecting a strong fourth quarter, both in terms of higher production and lower costs and the mine is off to a great start so far in October.  And on to our financial performance for the third quarter. We continue to generate robust cash flows with cash flows from operating activities and cash flows from operating activities before working capital, increasing from the second quarter by 24% and 21% respectively. We also generate a great free cash flow during the quarter, which increased 59% to $81.6 million up from Q2. There were some other notable events during the quarter. We further strengthened our financial position by repaying $720 million of existing debt and completing an offering of $500 million in senior notes due 2031, with a net impact, reducing our gross debt by about $220 million.  Aside from increasing our average tenor on debt, our interest costs were reduced by approximately $20 million annually, which provides further flexibility for capital allocation. We also repurchased 3.3 million shares during the quarter since we initiated our share repurchase program. We will remain opportunistic with our NCID and continue to use it as a further tool and delivering returns. But to wrap up, I want to come back to the strong Q4 we expect with our highest production and lowest cost for the year. By extension, we will see our strongest cash flow and free cash flow generation of the year as well. With that, I will now turn the call back over to Daniel.
Daniel Racine : Thank you, Jason. And with that, I will turn it back over to the Operator for question. Operator?
Operator: Certainly, thank you. We will now take questions from the telephone lines. . Thank you for your patience. The first question is from Fahad Tariq with Credit Suisse. Please go ahead.
Fahad Tariq : Hi. Good morning. Thanks for taking my question. Maybe first, just to clarify, I thought I heard you say 5% to 10% lower Asic quarter-over-quarter in Q4. Can you just confirm that?
Jason Le Blanc : Yeah. You are right, Fahad.
Fahad Tariq : Great. And then my second question. Maybe just extending that, can you talk a little bit about 2022? I know Q4 of this year benefits from the higher production, but what about going into next year? How does the inflation angle play in then?
Jason Le Blanc : First I'd say we're -- obviously we're going through a planning process right now. Will deliver a full update on our guidance early next year. Directionally though, there's some inflation impact that will carry over to next year. We're trying to keep a lid on that. We saw most of the inflation come into costs later this year. That's most of the impact that I mentioned, so we expect that to continue over to next year as well. But we will be taking other efforts to try to offset that. But we do think it's here for the shorter term. We don't think this is something that's going to continue on for years in the past. It does look like it's basis some dislocations on the supply side impact some commodity inputs are hurting us as well, but we're doing our best to offset it.
Fahad Tariq : Okay. And then just maybe as a quick follow-up, can you talk a bit about some of the measures you're taking to mitigate the inflation? Because it sounds like from your comments that it's actually a bit more muted for Yamana than it is for some of your peers that are talking about 5% to 7% inflation on consumables, or even higher than that, 3% to 4%, maybe 5% labor inflation. It sounds like, if I'm hearing correctly, it sounds like it's a bit more muted for Yamana. So I'm just trying to get a sense of what are the measures you're taking that's allowing you to kind of see less of an impact on inflation?
Daniel Racine : Well, good morning Fahad. You're right, we have already said in Q2 that we're seeing at the maximum $20 per ounces so that's 2% in our case. So what we did is early in the pandemic, we have increased our inventory, we have continued to maintain our inventory a lot higher than they're usually  and the fact that we bought some of them, the material we need to operate our mines sooner, so that's why this year, that was not highly impacted maybe compared to others.  So there's some measures like that. And then on a continuous basis we review our contract, we try goods from other companies that are other suppliers. And then if they can provide the same quality with a better cost, then we're going to take advantage of this, and then we mentioned many times all our mines have operational excellence, we call it in the Company, so there's many projects each year. At each of the mine that are there to know reduced cost, mitigate costs, improved cost because we have inflation on a normal basis with manpower and material.  That's part of our culture, that's part of what we do all the time to find ideas. And it's coming from everybody in the organization, from the miners having ideas, from engineers, from people of technical service, from all across the Company. And then, we're sharing in between. So, Yohann and the team, they meet -- each mine meets together on a monthly basis or quarterly basis to share what they're doing to improve their cost.  And then, if another mine can do the same we do it, we haven't initiate global procurement many years ago so when we go on tender for globally, you can assume we have a lot better price than then mine-by-mine. That's a few of the things we're doing, but we're doing a lot to mitigate costs and we've been successful doing it.
Fahad Tariq : Okay. Great. Thank you. That's it for me.
Operator: Thank you. The next question is from Mike Gelman (ph) with Bank of America. Please go ahead.
Mike Gelman: Morning, Dan, Jason Yohann, Gerardo, and Henry. Just had a couple of questions. Dan, you mentioned earlier that you don't think Cerro Moro as being value in your share price.  misquoted you. Just wondering, what was your basis for that assumption and what steps are you taking to enhance the value, maybe a joint venture, sell the asset, or is it more longer days in it? My second question -- I will come back to it. That was a long one to start off with.
Daniel Racine : Okay. I will start and then there are low can complement, but you know this, there's many that are carrying no value for Maera after we even published a strong prefeasibility study last year, the numbers we showed on our side are speaking for themselves that mine is as built. When we have integrated Alumbrera and Agua Rica together to form Maera, there's always risk to spend $2.5 / $2.8 billion in a project, or $5 billion, you have to build a mill. This is behind us, the mill is built. We have the permits for the training facilities, we have all the infrastructure in place at Alumbrera to operate the mill. We have the permit to do it. We have huge open fit to even disposed dating in the future. We have pipelines to transport the concentrate to the port. So that all exist.  What we need to do at Maera is to strip a big open pit and install a conveyors overland to the mill. So that's something very simple to do. So this is why we say -- and then when we look at the evaluation that's put on the market compared to the numbers you saw on the slide at $1300 and $3 copper, that's not the price -- the goal is today in copper. So there's a lot of value there. We're working to show you the value we're going to probably share a final feasibility study next year, or in the permitting phase. There's a lot of interest on that project and then our goal at Yamana is to demonstrate the potential of MARA. I don't know Gerardo if you want to add something on this, but we see huge potential with MARA in the future.
Unidentified Company Representative: Thank you, Daniel. Maybe just to add, like from a region perspective, Daniel was saying there a few points there that had 0 value for the assets. I would say maybe others have multiples of metal content, but if you look at what is the consensus versus what a similar assets based on the development stage and the value. I think you can see that it would be a significantly higher value even with the multiple core it's a really good stage. That's the reason behind that. And it's high-quality assets with a profile for development, as Tanya was saying, that it's a lot lower risk than a comparable asset.  In terms of paths to unlock value, our main paths to advance the project, we're doing visibility, we are advancing the permitting, advancing the social engagement, and social license. We have good progress there with a local team, and we have good progress on the technical side of sales leading the study, but also with our partners. There are other paths that are there, alternatives and some in three years  for corporate assets in the industry. We've considered all options as we progress the project. Obviously, the more we advance it, the more the risk becomes, the more value it has.
Daniel Racine : We have great partner, Mike. With Glencore in new months and then the three companies were fully aligned. We're working together now for over two years on the projects. I think this big value creation for the three companies in this project.
Micheal Delaney: Okay, great, thanks for that comprehensive answer. And the second question is on your London listing was a lot of fanfare about this last year and earlier this year. but I noticed the volumes are being very, very low on London, still very high in Toronto and New York, so I'm just wondering, is Yamana happy that the London listing is a bit cheap, what you wanted? Just curious. Thanks.
Unidentified Company Representative: Yeah, thank you for the question, Mike. I think it's a process is on a one day event. It's a process and we understand investors in the UK and Europe value relationship and long-term relationship. and we started traveling. Now, the restrictions are lifted and starting to having face-to-face meetings. So it is a long-term commitment from our part and we're going to put the effort to go there and meet face-to-face and tell our story and shoulder results to investors, but we had already a good base shareholders and in Europe and in London specifically. And now we're meeting a lot of new potential shareholders and I like our auto mentioned, Mike, it's not a one-day situation. It's a long term establishing partnership, or more meeting new people in the future. So we're there for long.
Micheal Delaney: Okay. Thanks a lot, and good luck.
Operator: Thank you. The next question is from Tanya Jakusconek with Scotiabank. Please go ahead.
Tanya Jakusconek : Good morning, everyone. Thank you for taking my questions. Just wanted to circle back to Jason on the inflation question for 2022. As we go through the inventory that you purchased earlier this year, appreciate you on the labor side, you've done all of your agreements. Just want to check with you, if we look at 2022, would it be fair to assume that your inflationary pressures are coming from buying additional fuel, consumables, etc., and therefore, something in the 3% range would be appropriate over the $700 per ounce sort of  this year.
Jason Le Blanc : Yeah, Tania, I think that's the way you laid it out, data to reasonable  we work through lower-cost inventory, purchases more at market than you would have call the cost-plus compared to what we saw this year. But, I think the jury is too low for us and we're still through a planning process and the less exposure on some of the items that you mentioned there. Obviously, you've got exposure to fuel, but with predominantly underground mines. Were just not consuming as much as other operations. We got power locked up at all of our operations through next year. Well better than market rates.  I think there's a few other things going in our favor and to the extent we've had any inflation in region, I think you see the natural hedge of currencies working out here as well and Canadian dollar, I guess being the outlier in that regard. Again, that was their impact this year. That was for a partial year. I think it's fair to say by extension that could be impact this year, plus a little bit more for next year. But, the final numbers will roll out into next year with our guidance.
Tanya Jakusconek : Okay, I appreciate that. And just wanted to understand also, as we look at some of your catalysts coming through in the next few months, we didn't have -- we had an exploration update in September. I wondered when we would get a next exploration update or any other studies or other things from now until you release your Q4 financials?
Daniel Racine : I think the next big catalysts update, Tania, is going to be in February. February, we're going to have our new R&R the Q4 result. We're going to talk about the Cerro Moro e-page and then, mill expansion. We said we were doing studies on boats. So we're going to talk about it shortly  Malartic with the Odyssey project, the advanced, maybe some more exploration result, we have very good result, after we did release news late -- earlier this year. So you can assume that early next year, we will probably have an exploration update. Also Jacobina hopefully will get the permit, but we -- of the 8,500 tons per day, the mine is already adjusting to that.  We said 57 million at the beginning, now we're talking 15 to 20 and that number is still going down as you have seen in Q3. We have achieved -- we're able to achieve with the actual mere 8,800 tons per these or even better than what our phase 2 plan. So there's a lot of catalyst news coming early in the year, until then I think it's going to be quiet in November and December and January, but February will be -- there will be a lot of news. We'll try to not to have all of them at the same time, I would say maybe a week or two apart, but there's many news coming early in the next year.
Tanya Jakusconek : That's good. And then maybe just on your reserves and resources. I just wanted to confirm with you on your pricing. Are we looking at keeping the same pricing? We are seeing a bit of inflationary pressures through the cost. I'm just trying to understand whether the pricing you will keep that constant as you had in 2020? And then -- that's the first question. And secondly, how do you feel about replacing your production and your reserve base this year are growing resources and what mine should I focus on?
Daniel Racine : The price won't change. We have 12.50 now for many years. The 12.50 is there to say for many more years. So that inflation doesn't have any impact on this. So 12.50 is our number. And what is it, 18 or 17, for copper, for silver? That's the two numbers that are constant for many years. That's the one we've -- the one we're going to keep. On all the mines there -- and we can put crawlers (ph), but we see very good result. As you can imagine, Canadian Malartic, when you mine close to 700,000 ounces of your reserve each year, the reserve will go down, but the resources will continue to grow up with the underground.  That will be -- we are already I said earlier this year that we have more than replaced our  ounces to replace what we're going to mine. We had very good success at El Penon like usual. At Cerro Moro, some very good news this year. We didn't really speak a lot about it, but we're going to seesaw. All in all in general, we're very confident that we will do like in the past few years to replace the  and then maybe add some ounces that some of the operation. I don't know Henry, if you want to say something else, but we're very confident.
Tanya Jakusconek : Go ahead.
Jason Le Blanc : Daniel covered it really well. We've had these very strong targets for the last few years, low-wage replacing depletion. The sites are performing very well. We're fairly confident we'll make that target. And over the last few years, we've seen consistent growth, and check will being on I think we'll see that again this year. And then obviously, at Canadian Malartic, we're going to see some growth in resources there, and perhaps the conversion of some of that inferred to indicated for that February release system.
Tanya Jakusconek : Okay. So what I kind of take some that is you've got that good chance of at least replacing production in your reserves and growing your resources this year?
Jason Le Blanc : Precisely, yes.
Tanya Jakusconek : And just maybe one last one on Cerro Moro. Can I just have a feel for how much additional material you could unlock if could decide to expand the amount.
Daniel Racine : It's basically our cut-off tenure that Cerro Moro is very high because it's a very high grade mine. When you have high cut-off under grown up six gram per tonne in the open pit, three grams per tonne. That mill was bill expandable We know the front-end of the mill, so crushing and grinding. It's already above 2000 ton per day, or processing 2,110 tons per day right now, that's the max, but we know the front-end can be able to do more than that. So you will see in this study what's our thinking. And then sure, with expanding the mill, we can expand the resources and reserve because we can mine lower grade.  We have huge potential on the . We have mentioned earlier that  can bring us 40 to 50,000 ounces per year more, because we're not mining any one gram type material and then, huge land position there, huge target. And this is where, Henry and the team are going to focus by the end of this year and early next year. To bring resources that at lower grade that will justify the epleege (ph) option. And then, the mill option to be -- to upgrade the mill, it's not very costly, like I said, it's already planned like that. You just add thanks on the flotation circuit and the cyanidation circuit also to increase capacity.  So unlocking that will permit two mine zones that right now we're mining right next to it. It's on the ground. We have the development done. But because they are lower than cutoff grade, we don't mine them. We have already paid for all infrastructure ramping down and then getting access so it will add  the amount of ounces. Right now, let us finish the study, then we'll see what we can bring into the mineral inventory.
Tanya Jakusconek : That sounds good. Great. Thanks a lot for taking my question.
Daniel Racine : Thanks, Tanya.
Operator: Thank you. Once again, . The next question is from Mike Parkin with National Bank, please go ahead.
Mike Parkin : Hi, guys. Thanks for taking my question. A follow-up on the inventory comment that you've got excessive inventory now. What's the thought of that going into 2022? Is that something that you are looking to maintain levels at or drop down to more normalized levels?
Daniel Racine : Good morning, Mike. We're still in the pandemic, so there's no reason for us to reduce our inventory for now, and the plan right now is to continue. Nothing will change in our planning for at least next year and probably, the next three years forecast that we're going to release the inventories are high, but we benefit of having high inventory. There was a price to pay in 2020 to do that. But now we're benefiting of having done that right away when the pandemic start last year.
Mike Parkin : Okay. Then, has there been any discussion with Tony  now that the merger of equals with  have been announced, in terms of what the vision is on Canadian Malartic. It seems like possibly we might be seeing some expansion in budgets for exploration and certainly with that asset that's showing quite a bit of upside so maybe that's something that you guys would be welcoming?
Daniel Racine : And the answer is no. Mike lets them to their deal, close their deal together later this month or later in November. And after that, I'm assuming at the management committee level then than we're going to have discussions. so we'll speak with Tony at the time when the deal is closed. And then on -- I think on the management committee level where the mines are managed and we're Yohann and his counter products technique or the New Agnico will continue to be the same. I don't -- we don't see any changes and we'll be very happy to provide more money to the exploration as we generate good strong free cash flow. Malartic has been an amazing on exploration. I mentioned what they want today, the discovery of the year, what is gold is and that is gold is always continuing to grow. So we'll be happy to speak with Tony when it's the time.
Mike Parkin : Okay. And then just last one question from me. There has been a lot of chatter around labor tightness in Ontario and Quebec. For Quebec operations, are you seeing, much in the way of price pressures to attract people to the Wasamac Project, maintains staffing at Canadian Malartic.
Daniel Racine : I'll start with the Wasamac, the answer is no. We were able to attract very good people so far for the Wasamac project. We are building the team there. We're close to  so that helps a lot, I think to attract people. There's many that are working in the mining industry to work closer from home. So we've been able to attract good people at Malartic. The underground project is basically now, mostly, a contractor. I think we're going to switch to our own employees in April next year. We have started to hire people on the staff side point of view where we are hiring right now we have no issues so far. But we will see when it comes the time to go with the underground.  But the open pit will go down in the future. There's people that are already mentioned, they want to be transitioned from the open pit mining to the underground. So, we have already these employees, they're working at the mine for many years. They want to stay and learn from the underground, so we're going to start training also some of our actual manpower at the site. We have not seen that pressure at these two operations, but we'll see what happens in the future. But so far no problem, Mike.
Mike Parkin : Great. And one last question. South America had obviously been a bit of a COVID hotspot through the pandemic that seems to be turning a corner here with Q3 is a little bit of color in terms of employee availability. How do you guys see that kind of today? Is that -- you kind of best it's been in -- kind of year-to-date and thus supporting further that call for a very strong fourth quarter coming?
Daniel Racine : Yeah, like I mentioned. To give an example, as we have 100% vaccination rate at the two mines. Jack will be nice, getting close is above 80% now. And the same at  for first dose and then that's the vaccine is getting more available than they're getting vaccinated.  back in full production now for the last quarter and then this quarter, the other three mines we had no issue. Since the beginning we have no cases that any of our mine s, so we've put protocols in place at the beginning and then they are bearing fruit because we're running the mines at full capacity like before the pandemic. We still have the same protocols at site but the mines are running like normal.
Mike Parkin : Great. Thank you, that's it for me, guys. Thanks very much. Congrats on a good quarter.
Daniel Racine : Thank you.
Operator: Thank you. The next question is from Ralph Profiti with Eight Capital, please go ahead.
Ralph Profiti : Thanks, everyone. Good morning. Daniel, Mike. My first question is on Jacobina Phase 3 permitting, by your own account, Phase 2 permitting has gone very well tracking ahead, When it comes to Phase 3, do you think it's probably going to go as smoothly? And I'm specifically talking about incremental issues such as tailings and use of the rail - veyor. If that's going to produce any more sort of scrutiny or more difficulties in getting the permitting for Phase 3?
Daniel Racine : Thank you, Ralph. Good morning. So we're going to get permits for Phase 3 when we get the permit next year. The tonnage of 10,000 ton per day that's the permit we're going to get. So, we need 8,500 tons per day for the second phase, but we have asked the permits like we were doing Phase 3. So, it's not the permit to 85 than another addendum to increase the permit to 10,000. We have decided to go directly to the 10,000.
Ralph Profiti : Understood. Okay. My second question is going back to the earlier comment about incremental Canadian Malartic investment now that we have a new and bigger player, is that changing your thinking on the pace of potential dividend bumps, the pace at which we get NCIB action just in order for Yamana to build up that Balance Sheet for may be bigger capital commitments?
Daniel Racine : No, Balance Sheet is pristine, so we can afford giving more dividends, buying back more shares, and then continue to invest if needed more in Canadian Malartic. We're going at a very high speed faced there to -- I mentioned the headframe. It's ahead of plan our working on the other infrastructure. If we need to spend more and more money underground at one point, point. We have I think 12 drill or 14 drills at Malartic right now. Can we go to a more drills? Yes, we can. But that's not an issue for us to continue to have the same priorities. No, we had 3 before. Balance sheet, that's fixed.  We're focusing on returning to shareholders and the reinvesting in the mines and then in the project. But that's not an issue for us to put more money at Malartic or any of the other mines. We have increased budget internally to all our mines exploration budget this year because it's going well. And then, they have been successful to find more answers. So that's not an issue, which should -- we should not hear that the problem for Yamana, even if the -- our partner is a bigger partner. Whatever we decided, we have always decided since day one what we want to do at Malartic.  I'm assuming it will continue to be the same for both partners were 50-50 in there. And then it's going extremely well I don't see any changes. We at the mine level, we're going to deal with the same people and then maybe on the corporate level will be a bit different, but like I mentioned many time and I think both Company mentioned, on my side and then on Sean side and Tony side now in the future, nothing has ever come to the higher management of the 2company because there was a problem at the mine level, that the management committee was -- is the Board of Director of the Partnership. Never the 2 groups times together disagree on anything. Now it's going to be on most, it's what, 7.5 years that we were in partnership. It's going to be 8-year in June next year has been a great partnership and it will continue to be like that in the future.
Ralph Profiti : Yeah, that's really good news. Thank you, Daniel.
Daniel Racine : Thank you, Ralph.
Operator: Thank you. There are no further questions registered at this time. I will turn the meeting back over to Mr. Racine.
Daniel Racine : Well, thank you, Operator. And thank you all for joining us on our third quarter 2021 conference call and webcast. We'll look forward to sharing more a recap of our full-year performance in February. Please take care and stay safe. Bye for now.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.